Julia Neugebauer: Ladies and gentlemen, good afternoon or good morning. My name is Julia Neugebauer, Senior Director Investor Relations at MorphoSys, and it is my pleasure to welcome you to our first quarter 2022 financial results conference call. Joining me on the call today are Jean-Paul Kress, Chief Executive Officer; Sung Lee, Chief Financial Officer; Malte Peters, Chief Research and Development Officer; and Joe Horvat, U.S. General Manager. Before we begin, I'd like to remind you on Slide 2 that some of the statements made during the call today are forward-looking statements, including statements regarding our expectations for commercialization of our products and our development plans, expectations for the compounds in our pipeline as well as the development plans of our collaboration partners. These forward-looking statements are subject to a number of risks and uncertainties that may cause our actual results to differ materially including those described in the Form 20-F and annual report for the year ended December 31st, 2021, and from time to time in other SEC documents of MorphoSys. It is important to keep in mind that our statements on this webcast speak as of today. On Slide 3, you will find the agenda for today's call. Jean-Paul will begin with an overview and we'll give an outlook. Joe will provide a commercial update, and Mark will provide an update on our development pipeline before turning the call to Sung for a summary of our first quarter 2022 financial results. Following these prepared remarks, we will open the call for your questions. With that, I now hand the call over to Jean-Paul.
Jean-Paul Kress: Thank you, Julia. Welcome, everyone, and thank you for joining us today. In the first quarter, we continued to make progress on our mission to become a leader in hematology oncology. Our first commercial product, Monjuvi, the cancer immunotherapy treatment, remains the market leader in new patient starts for second line DLBCL. It is now a designated preferred regimen for second line therapy in the updated NCCN clinical practice guidelines. Joe will provide a commercial update shortly. We have a robust and mature pipeline, and we are seeing strong patient enrollment in our pivotal Phase 3 studies. We are evaluating Monjuvi in additional types of non-Hodgkin's lymphoma and are optimistic about pelabresib in first-line myelofibrosis. We believe we have the potential to change the treatment paradigm for these difficult-to-treat hem-onc diseases and to have a positive impact on patient's lives. For Monjuvi we see the largest opportunity in first-line DLBCL, where there remains a large unmet need. Our pivotal frontline trial continues to enroll very well with significant interest from the medical community, and we are confident in our approach, focusing on high-risk patients with an IPI of three to five. We are very excited about the potential opportunity of pelabresib in first-line myelofibrosis, which is being studied in our pivotal manifest 2 trials in combination with ruxolitinib. We believe pelabresib could potentially change the standard of care for patients with myelofibrosis and be a greater than $1 billion opportunity. In addition to our late-stage pipeline, we are advancing our mid-stage programs, the EZH2 inhibitor CPI-0209 in a basket oncology trial; and felzartamab in autoimmune diseases. For both programs, we are expecting data later this year. We continue to stay disciplined as we execute on our priorities, both commercially and on the development front. The major focus this year is to drive Monjuvi sales and to continue to rapidly enroll our pivotal studies, which are our largest potential value-creating opportunities over the long term for the benefit of patients and our shareholders. As we look to data this year, we are excited about two potentially significant readouts of our partner programs. Roche is planning to announce pivotal data for gantenerumab in AD; and GSK to announce pivotal data for otilimab in rheumatoid arthritis by the end of this year. We are also pleased to share that we expect a number of additional partners to advance their programs into pivotal studies this year. Most importantly, Novartis is expected to advance ianalumab for Sjogren's syndrome and lupus nephritis; and Anthos Therapeutics to advance abelacimab for the prevention of venous thromboembolism. Also, Mereo and Ultragenyx are investigating setrusumab in a Phase 2/3 clinical study for the treatment of osteogenesis imperfecta. On these programs, we tend to receive potential royalties, which could provide us with attractive future income streams as we execute on our commercial efforts and late-stage pivotal trials. Malte will provide more information on this next wave of partner programs. As we look at our financial position, we have a very strong balance sheet, and our cash runway takes us through our pivotal elaborative data in first half 2024. With that, I will now turn the call over to Joe for a commercial update. Joe, please?
Joe Horvat: Thank you, Jean-Paul. Turning to our Monjuvi commercial results. Monjuvi net sales in the first quarter were $18.7 million, representing a 21% year-over-year growth. Coming out of the first full year of launch with a novel immunotherapy, we are pleased with the continued gradual uptake for Monjuvi in this aggressive disease. On a sequential basis, we saw a decline of 21%. If you look at the underlying demand, it was lower by only 9% as demand was impacted by the omicron wave. For the remainder of the year, we expect sales to grow sequentially. Breaking down the results further, greater than 70% of orders from sites of care came from the community setting and the balance from the academic setting. We continue to expand our reach with more than 1,100 sites of care ordering Monjuvi since launch through the end of Q1. In the first quarter, approximately 80% of orders from sites of care were repeat orders, which reflects the ongoing use of Monjuvi. As we penetrate more sites of care, we would expect the repeat order rates to continue to be high, as physicians prescribe Monjuvi more consistently due to its attractive and uniquely differentiated profile. We continue to have the leading market share in second-line new patient starts. In March, Monjuvi was designated as a preferred regimen by the NCCN guidelines for approved second-line label. This recognition further emphasizes the potential of Monjuvi for these patients. As we move forward, we continue to be focused on improving the duration of treatment or persistence. Education efforts are ongoing to evolve prescribing patterns for Monjuvi as immunotherapy. An important part of this education effort is the emphasis on the importance of keeping patients on treatment until progression, which is consistent to how other immunotherapies are utilized in the outpatient setting. We believe these education efforts will lead to an increase in treatment duration over time and more importantly, a benefit to patients. With that, I'll turn the call over to Malte for an R&D update.
Malte Peters: Thank you, Joe. As Jean-Paul mentioned, we have a strong pipeline that we are excited to advance. We are focused on our late- and mid-stage assets and especially on rapid enrollment across our pivotal Phase 3 studies. Let's start with pelabresib. The ongoing manifest 2 Phase 3 trial is exploring the effectiveness and safety of pelabresib in combination with ruxolitinib as a first-line treatment for myelofibrosis. The current standard of care for myelofibrosis is ruxolitinib, a JAK inhibitor. But only 50% of patients with myelofibrosis can be adequately treated with this therapy. Based on latest data from Arm 3 of the manifest trial, our Phase 2 study of pelabresib in myelofibrosis, we believe pelabresib may have the potential to change the standard of care in the first-line treatment of myelofibrosis. We will be presenting new clinical and translational data from the manifest trial at an upcoming medical conference this summer, including data on pelabresib's disease-modifying potential. The enrollment of manifest two study is progressing well, and we expect to report top line data from this trial in the first half of 2024. For our other important program, tafasitamab, we have two Phase 3 studies underway, frontline and in-mind, - expanding the potential of this cancer immunotherapy to patients living with first-line DLBCL and patients living with relapsed or refractory indolent lymphoma. The frontline study is examining tafasitamab as a first-line treatment for DLBCL, an area where there is a significant need for new and more effective treatment options. We are confident in our trial design that focuses on high-risk patients with an IPI score of three to five, and we believe tafasitamab plus lenalidomide may have the potential to enhance the current standard of care. The trial is enrolling at a very promising pace and has garnered significant interest from the medical community. Our partner, Xencor, is investigating the combination of tafasitamab and their CD20xCD3 antibody, plamotamab and lenalidomide in patients with relapsed or refractory DLBCL. The study has been initiated and the first patient, first visit have occurred. Supplemental to this, we are also close to treating the first patient in our MIND weight trial, a study that is investigating an optimized treatment schedule with a reduced number of administration for patients with non-Hodgkin's lymphoma. We also have two mid-stage assets: CPI-0209, our EZH2 inhibitor is in clinical development for oncology; and transatumab, our anti-CD38 antibody is in clinical development for autoimmune indications. In the second half of this year, we expect data readouts from both assets. Finally, we expect some of our partners to release data and programs - clinical programs this year. As you may be aware, MorphoSys has a long and successful history of creating strategic partnerships with global healthcare companies. While MorphoSys has transformed from being a research-based fee-for-service company into an integrated biopharma company, we are excited to see some meaningful progression of programs arising from some of our key collaborations. First, in the fourth quarter of this year, Roche is planning to announce data from the two pivotal graduate studies with gantenerumab in Alzheimer's disease. Also, this year, we expect GSK to share data from its Phase 3 study of otilimab in rheumatoid arthritis. Novartis recently shared plans to advance ianalumab, an antibody directed against the BAFF receptor into pivotal studies this year, exploring it as a treatment for Sjogren's syndrome and lupus nephritis. Anthos Therapeutics is also planning to advance abeluximab, an antibody directed against Factor 6 for the prevention of venous thromboembolism. And lastly, Ultragenyx and Mereo are investigating setrusumab in a Phase 2/3 clinical study for the treatment of osteogenesis imperfecta, a genetic bone disorder also known as brittle bone disease. So over the next several years, we expect to deliver a steady flow of clinical data. We are very excited about our progress and the potential of our pipeline. With that, I'll turn now the call over to Sung for a review of the financials.
Sung Lee: Thank you, Malte. We're pleased to share our financial results for the first quarter of 2022. Moving to Slide 14. As Joe stated earlier, Monjuvi sales were $18.7 million in the first quarter of 2022, reflecting year-over-year growth of 21%. On a sequential basis, sales declined by 21%, largely due to the inventory dynamics and clinical trial purchases that occurred in the fourth quarter of 2021, in addition to the effects of omicron on demand. We continue to be excited for the Monjuvi opportunity outside of the U.S., which our partner Incyte is responsible for. While it's early days in the launch there, we recorded EUR 0.7 million in royalty revenue for Monjuvi. Total revenues in the first quarter of 2022 were EUR 41.5 million, compared to EUR 47.2 million in the same period a year ago. Prior year revenues benefited from EUR 16 million of milestone payments from GSK. Total cost of sales was EUR 7.9 million in the first quarter of 2022, compared to EUR 5 million a year ago. The year-over-year increase was primarily driven by higher Monjuvi sales in the U.S. Cost of sales specific to Monjuvi U.S. product sales was EUR 3.5 million in the first quarter of 2022. Turning to operating expenses. R&D expenses in the first quarter of 2022 were EUR 65 million, compared to EUR 33.3 million for the first quarter of 2021. The growth primarily reflects the inclusion of Constellation and increased investment to support the advancement of our clinical-stage programs. Selling expenses decreased to EUR 21.9 million in the first quarter of 2022, compared to EUR 28.2 million for the same period in 2021. The year-over-year decline was driven by the additional investments made in 2021 to support the first full year of the Monjuvi launch. G&A expenses in the first quarter of 2022 were EUR 14.6 million, compared to EUR 10.3 million in the first quarter of 2021. This increase was primarily driven by the inclusion of constellation and higher legal and professional fees. For the first quarter of 2022, we reported a consolidated net loss of EUR 122.7 million, compared to a net loss of EUR 41.6 million in the first quarter of 2021. Turning to our balance sheet. We ended the first quarter of 2022 with cash and investments of EUR 847 million, compared to EUR 977 million at the end of 2021. This amount is sufficient to take us through the collaborative pivotal data readout, which is anticipated in the first half of 2024. As a reminder, we also have access to development funding bonds from Royalty Pharma in the range of $150 million to $350 million. We will communicate the exact amount that is drawn later this year. Nonetheless, the amount drawn will only serve to extend our cash runway. Turning to our guidance for 2022 on Slide 16. We are reiterating all aspects of our financial guidance. With that, we would like to open the call for questions. Operator?
Operator: [Operator Instructions] The first question comes from James Quigley, Morgan Stanley. Please go ahead. Your line is now open.
James Quigley: Great. Thank you for taking my question. Firstly, on Monjuvi. Could you give us an idea of in terms of the percentage of the NBRx or the new term brand share where you are in the second line for DLBCL, and where you are currently overall as a sort of showing us where you are now and where you could get to with the new patient share? And - have you seen any evidence of treatment duration starting to increase? And how are you managing to change that prescribing behavior of physicians? I know it's not - still early days, but have you started to see any sort of leading indicators of a change there? And then on R&D spend, could you give us an idea of how you expect R&D spend to face throughout 2022? And then how much of the cost in the first quarter was related to the Phase 3 trials? And then also sort of related to that, in your guidance, so can you give us an idea of what the impact is of the Phase 3 trials. Again, I noticed early in the year, but given where you came in, I'm just trying to get a sense of - if there's any possibility that R&D actually won't come in below the range, and if that could have a positive impact on cash flow. Thank you.
Jean-Paul Kress: Thank you, James. Joe will take the first part of your question, and then Sung will answer your R&D.
Joe Horvat: Yes. Thank you, James. So as it relates to new patient starts, what we see is both one out of every two, one of every three patients are prescribed Monjuvi in the relapsed/refractory setting. We do anticipate with our differentiated profile that there's opportunity to improve on that. There is fluctuation in data because the data sets are small, but we continue to see it as a preferred choice. As it relates to duration of treatment, as you know, duration of treatment is always in arrears, right? We only have the first six months of last year and the last six months of last year. So as we look to this year, it's still early days. But as our teams continue to have strong success with in-person engagements, and we're leveraging a large broad multichannel approach that deliver our message to support our uniquely differentiated profile as an outpatient immunotherapy of choice, we feel that we'll continue to make gradual increases in duration of treatment as the year goes along.
Sung Lee: Okay. And James, this is Sung, your question with respect to R&D expenses and the phasing of that for the remainder of the year. Our guidance is intact across the board. So we do expect R&D expenses to ramp up as we move through the year. So there's been no change on that front. And if you just look at the year-over-year increase for Quarter 1, R&D expenses increased about 95%. So that's pretty substantial. And that shouldn't come as a surprise as we're moving through a bolus of pivotal studies. Now with regard to the composition of our R&D expense, the majority, and this is well over 50%, probably closer to 60% of R&D expenses are for CRO-related expenses, clinical materials, everything that goes into running a Phase 3 pivotal studies. And then we also have some mid-stage studies ongoing as well, but the vast majority of our R&D expenses gear toward our development.
Operator: And the next question comes from Jason Butler, JMP Securities. Your line is now open.
Roy Buchanan: It's Roy on for Jason. Thanks for taking our questions. I guess a follow-up on the Monjuvi commercialization So you have a couple of positive factors, the high reorder rate, and the leading market share. So I guess the two questions are, so for the physicians that have been hesitant to start using Monjuvi, what's the main driver behind the decision? And the other question is what's the receptivity that you're getting to the educational efforts to drive utilization to progression. And then I guess to clarify the market share was half to a third of the second-line patients are being prescribed Monjuvi? Thanks.
Joe Horvat: Yes. So thanks, Jason. You're correct, half to a third of patients. And the reason we have that is because the numbers are small in any given month, we see some volatility on the data. But overall, we see that leading share. And as it relates to the hesitation I think I would say it's more of a lack of understanding and lack of awareness. It's still early days in the launch. And our focus is to continue to penetrate the market and continue to raise awareness and the understanding of using Monjuvi as a novel immunotherapy with this uniquely differentiated profile, so we can continue to increase the new number of patients to ensure that our key stakeholders and patients understand what to expect from their response and how to manage treatment so that patients can remain on therapy as long as appropriately possible. So with this, we expect to see a gradual build in that duration of treatment.
Roy Buchanan: Okay. That makes sense. So it's more about touches and getting out there and seeing the physicians. I guess, can you remind me how - what percentage of the target physicians you've marketed to so far is getting out of there or where you're seeing the physicians, I guess.
Joe Horvat: No. We're not at 100%. We're certainly well over half. Obviously, there's always opportunities to increase, but - and we continue to get out. Our teams are seeing high in-person engagements, and we are getting access to more offices. But there's always opportunities to improve, and we continue to do that.
Roy Buchanan: Okay. Great. And then for felzartamab for the updates later this year, is that going to be both in membranous and IgA nephropathy? Which one might we see first? And has there been any impact from Ukraine and Russia on those trials?
Malte Peters: Yes. So we are planning to provide updates for both trials for the and for the IgA nephritis trials. Of course, as you remember, the AMN study is more, more mature because it started earlier. So the data set is going to provide a bit more information compared to the IgA nephritis trial. And we are going to be excited to show where the data is currently at, and we will share updates on both studies toward the end of the year. With respect to Russia, Ukraine, remember that for the AMN study, the study is fully enrolled, and also for the IgA nephritis study, the study is fully enrolled. So the Russian-Ukraine war has no impact on the two studies that I was referring to.
Operator: And the next question comes from Xian Deng, Berenberg. Your line is now open.
Xian Deng: Hi. Thank you. Thank you for taking my questions. Two, please. So the first one is that, I mean, Q4 last year, there were some positives like inventory effect on Monjuvi. So just wondering, with the Q1 sales, I think this quarter, with the Monjuvi actually within your expectations when you were making the full year guidance in the last year? And also for the remaining of the year, I was just wondering if you could maybe elaborate a bit more what are the drivers that could help Monjuvi sales to meet the full year guidance? And the second one is, as the CAR-T is actually moving into second line in DLBCL, I was just wondering what are your thoughts on the impact for use of Monjuvi in the third line? Thank you.
Jean-Paul Kress: Great. Well, thank you for your questions. Sung, I will take the first part, and Joe second.
Sung Lee: Yes, Xian. Thanks for those questions. With regard to the impact of the inventory buy-in and clinical trials that happened in Quarter 4 to Quarter 1, it was within our range of expectations in terms of the sequential decline, and we communicated that as such. So if you look at the overall decline in absolute dollars, we're down $4.9 million quarter over quarter, and $3 million of that is related to the inventory swing as a result of the buy-in Q4. And then the balance of $1.9 million is purely due to the lower demand due to omicron. So it was within our range of expectations. Now in terms of the drivers to get to the various endpoints of the guidance, and there is quite a bit of range there, so you have to keep that in mind. It comes down to these three variables: Continuing to drive patient uptake; persistence is very important, and then penetrating additional sites of care. So these are things the commercialization team continue to focus on. And it's early days. But it's safe to assume that similar to last year, we do expect the second half to be proportionately larger than the first half.
Joe Horvat: And as it relates to your question on the CAR-Ts. And we always anticipated that the second line plus population is a competitive market. However, we feel strong about the value proposition that Monjuvi brings. The academics are important, and we continue to see good support with the academics representing almost 30% of our sites of care. As we mentioned in the past, Monjuvi does have a uniquely differentiated profile as the outpatient immunotherapy choice for those patients in the relapse refractory study. So we continue to feel that patients will benefit in the second-line setting.
Operator: And the next question comes from Vineet Agarwal, Citi. Your line is now open.
Vineet Agarwal: Hi. Thanks for taking my question. So first, given the recent FDA AdCom on PI3K, should we assume your top trial, tafacitumab in combination with Incyte PI3K is no longer being pursued? I mean I understand Incyte is running this trial, but it would be helpful to get your thoughts. Basically, just trying to understand if this handicaps your plans for the CLL indication. And can you confirm if the $19 million revenues in the quarter, is there any - is there any contribution from clinical trial purchases in this quarter?
Jean-Paul Kress: Okay. Well, thank you, Vineet for your question. Let's start by Sung in the financial question and we'll go to Malte for the PI3K delta.
Sung Lee: Yes. Vineet, thanks for the question. The simple answer is no, there were no clinical trial sales in Quarter 1.
Malte Peters: Yes. So for the impact of the advisory committee that you referred to recently conducted at FDA. First of all, I think we are happy to say that we do not see any impact on the ongoing studies, frontline, and in mind because they do not have a PI3K kinase inhibitor. It is true that for the parsaclisib combination, that there may be some impact coming from the FDA's opinion. I think we are remaining interest in this combination because there is - because the combination is actually very active. The doublet that's of the PSC kinase delta BDA in combination with tafasitamab is very active in CLL. So these programs are conducted by Incyte. And I think both Incyte and us remain interested in these combinations. And we are going to be guided by the data that the studies will generate. But I think it's clear that for the PI3 kinase delta development situation, FDA's opinion did have some impact, and it's clear that the bar has gone up.
Vineet Agarwal: If I can squeeze in one more on your head count reduction of about 10% in the first quarter. How is that spread across the function? If you could add any color to that, that would be great.
Sung Lee: Yes. This is Sung again, Vineet. Happy to give you some color on that. So recall the announcement that we made at the start of the year where we did have a consolidation of our research organization where that's all consolidated in Planegg, Germany now. So I would say that was certainly one of the major reasons why you saw quarter-on-quarter headcount decline. So I think it's fair to think that's a significant or the majority of it.
Operator: And the next question comes from Victor Floc'h, Stifel. Your line is now open.
Victor Floc'h: Yeah. Thanks for taking my question. I have two actually, one about Monjuvi and one on felzartamab. First one, is it likely to see an inflection in Monjuvi's momentum as soon as next quarter? Or should we wait at least for the second part of the year? And on felzartamab, well, you've always been pretty clear that it was not a corporate for you. And so I was wondering, should we expect data expected this year to be significant enough to drive potentially an out-licensing deal for it? Thanks.
Jean-Paul Kress: Well, thank you, Victor. I'll take the first question and Joe can take the Monjuvi question. You're right. We had indicated that as exciting as it is not really in our area of authorities, meaning hematology oncology. So we have signaled and said that we are contemplating potential partnership or licensing opportunities. And it's actually ongoing. We can't comment further. It's related to the data, but it's not really that we are waiting for some more data to do that. So it could happen with what we have in hand. It could be enriched with some data later, but these initiatives are ongoing, as we mentioned earlier. So stay tuned on this one. Joe?
Joe Horvat: Perfect. Thanks, Victor. As Sung mentioned before, as we move forward, we continue to focus on penetrating more accounts and broadening the utility of Monjuvi. And through that and the differentiated message driving new patients and increasing duration of treatment. With all these combined, we see that leading to a gradual sequential growth quarter over quarter. So that's what we would expect to see as we go through the year.
Operator: [Operator Instructions] And the next question comes from Zain Ebrahim, JPMorgan. Please go ahead. Your line is now open.
Zain Ebrahim: Thank you for taking my question. Just two, if I may. My first question is beyond Q2. You talked about sequential growth expected gradual sequential growth for Monjuvi. But just any disruption you're seeing or what you're seeing from the BA.2 variant outbreak in the U.S. and your expectations there? And my second question, also on Monjuvi. Can you remind us on what your peak sales ambition of $500 million of same store for average duration of therapy? Thank you.
Jean-Paul Kress: We had a bit of a halftime to hear the first part of the question.
Sung Lee: I think, Zane, I heard you ask - the first part of the question is the potential of any further COVID outbreaks and the impact to our guidance. Look, this is a moving situation. Obviously, we've had a couple of years in a row with different waves of COVID variants. But we are reiterating our guidance, including the Monjuvi product sales guidance. And going back to the comment that Joe made, while we do expect gradual sequential increases, in the second half we would expect that to be the growth there to be outsized relative to the first half. And then I think you had a question on peak sales, if I heard correctly, with regard to Monjuvi. The goal remains the same. It's our goal to achieve that $500 million to $750 million range, albeit with the start that we've had, with two COVID headwinds in two consecutive years, it's safe to assume we're probably trending toward the bottom end of that peak range and also the peak has been pushed out years.
Operator: And the next question comes from Rajan Sharma, Deutsche Bank. Your line is now open.
Rajan Sharma: Hi. Thanks for the question. Just a couple more on the commercialization of Monjuvi and maybe I can just push a little bit more on duration of therapy. I think full year results update in March, you mentioned that duration of therapy was at around three months? Could you provide an update on that? And then secondly, could you just update us on the number of patients currently on Monjuvi therapy right now? Thank you.
Joe Horvat: Yes, Rajan. Thank you for that question. As we - as I mentioned earlier, the duration of treatment is always in arrears. So we do have data from the first six months of last year, last six months of last year, and we're collecting the data from this year. So suffice it to say that it's still in that range of a few months. But - and we continue to work at extending the duration of treatment by managing expectations, and we fully expect that that will increase as the year goes on. And the second question related --
Jean-Paul Kress: Number of patients on Monjuvi.
Joe Horvat: Number of patients on Monjuvi. I believe we reported at the last call that we've got now over 2,000 patients that have been prescribed Monjuvi since launch. So we continue to penetrate and get strong new patient starts, and that's reflected in our leading market share.
Jean-Paul Kress: Yes. I would also add, Rajan, that we have patients who have greatly exceeded this couple of months, which is an average. We have some patients who have more than a year of treatment. I think we have a couple of patients who have 18 months since the launch. So the great news here is that it's possible - it's possible that in - actually in the real life in the market, we can produce what we have seen in our L-MIND study. It's a question, as Joe articulated and as we said earlier, - it's a question of educating on the opportunity to treat longer, to leverage the strength of our immunotherapy regimen. And obviously, it comes together with a bigger change in the market, which has been dominated by our chemo. So it's a process. But obviously, we have the data for it. And we have the teams totally focusing on that.
Rajan Sharma: Okay. Thank you. And maybe just one follow-up, if I can. Given the way that the kind of first quarter of this year has gone from Monjuvi, is it fair to say that your 2022 guidance range for the drug is realistic?
Joe Horvat: Well, Rajan, we just reiterated guidance, and I'm not going to dissect the pieces of the guidance. But obviously, we have a big task ahead of us. And we're focused on, as I said, the uptake of Monjuvi increasing the number of sites of care in terms of penetration and extending the duration of therapy. So there's a wide swing in any of those variables that could get you to be the bottom and the top end of the range.
Operator: And we haven't received further questions at this point. I will hand it back to you, Julia.
Julia Neugebauer: Ladies and gentlemen, this concludes today's conference call. If any of you would like to follow up, the investor relations team is available for the remainder of the day. Once again, thank you for joining our call. Have a good day and goodbye.